Operator: Good day, ladies and gentlemen, and welcome to the Iridium First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host for today, Mr. Steve Kunszabo, Head of Investor Relations. Sir, you may begin.
Steve E. Kunszabo: Good morning, and thanks for joining us. I'd like to welcome you to our first quarter 2013 earnings call. On the call this morning with me, our CEO, Matt Desch; and our CFO, Tom Fitzpatrick. Today's call will begin with a discussion on the 2013 first quarter results followed by Q&A. I trust you've had an opportunity to review this morning's earnings release, which is available on the Investor Relations section of Iridium's website. Before I turn things over to Matt, I'd like to caution all participants that our call this morning may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not historical fact and include statements about our future expectations, plans and prospects. Such forward-looking statements are based upon our current beliefs and expectations and are subject to risks, which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed on our filings with the Securities and Exchange Commission. Our remarks today should be considered in light of such risks. Any forward-looking statements represent our views only as of today, and while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our expectations or views change. During the call, we'll also be referring to certain non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. Please refer to today's earnings release in the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With that, let me turn things over to Matt.
Matthew J. Desch: Thanks, Steve, and good morning, everyone. Thank you all for joining us. I'm sure you noticed that this has been a really busy week for us with 2 important announcements. We're also pleased to share with you this morning that we just closed on an important deal with Caterpillar, which establishes us as their primary provider of satellite M2M services. Yes, that's a big deal, but I'll talk about that more in a minute. These announcements are important because they validate the long-term trajectory of our business. Even though we focus on quarterly results during these calls, to me, it's really about how our company will look over the coming years, and these announcements confirm that our long-term plan remains very much on track. With this in mind and as I often do, I'll spend most of my time today on these subjects including the performance of our current satellite network and the Iridium NEXT development. I'll also take you through the area [ph] and business model as we've had some exciting development there. While sharing the latest news on our complimentary hosted payload deal. I'll review our M2M market opportunity in light of the new multiyear agreement with Caterpillar. I'll wrap up by revisiting our plans for geographic expansion, which in addition to Russia, now show renewed promise in India and China. As always, Tom will then focus more specifically on our results and financial outlook. Before I get started on these key strategic areas, I wanted to share just a quick few thoughts on the quarter. As we anticipated, some of the headwinds we faced in 2012 have carried into 2013, but we're pretty much on track for where we expected to be for subscriber, service revenue and operational EBITDA growth, and we reaffirmed our 2013 guidance today for those areas. Equipment revenues were a little off in the quarter, but that's mostly timing and comps. We're still absorbing lower voice and circuit-switched data usage in our commercial business from reduced non-U.S. military traffic in Afghanistan, but we continue to work methodically towards a successful contract renewal with the Department of Defense in the third quarter, which will help position us for the future with that important customer. When you consider how our year shapes up in the context of our outlook, it's really back-end loaded in terms of financial contribution. So the operating environment we outlined when we gave our annual financial guidance hasn't changed much in the last couple of months. We continue to have visibility at accelerating service revenue and cash flow growth as we execute against these short-term objectives. So getting back to our long-term profile, let me begin with the current network, which continues to perform very well as evidenced by our voice and data traffic metrics. In fact, our call establishment rate is as good as it's ever been in our recent history. I encourage you to test-drive our network for yourself, and you'll you experience what our customers and partners do: fast and reliable connections, good voice quality, consistent data speed and global coverage. Our performance is appreciated by our customers as we continue to grow our industry-leading market share and renews our confidence that we'll have a smooth transition to Iridium NEXT, starting in just under 2 years. As for our Iridium NEXT program, we spent a lot of time on this topic the past few quarters, so I'll just emphasize a few key points. Most importantly, we remain on budget and on schedule for the design and construction of the new satellites. We feel good about the overall plan now that we're more than halfway through the development cycle and have spent more than $1 billion on this $3 billion initiative. At this stage, the design is essentially complete, and we're building the first full-scale test vehicle. We're also pleased that SpaceX is on schedule for qualification of its new Falcon 9 launch platform. After another successful deployment to the International Space Station in March, we're looking ahead to their next 3 missions this year, which include missions for NASA and 2 of our commercial satellite peers. So shifting gears just slightly, I'll move to our revolving business model for Aireon. I'd like to take a step back, though, and retrace the path we've taken since first announcing this global aviation monitor invention-- venture nearly 1 year ago. Back in June 2012, we first outlined its transformational capability to continuously track aircraft anywhere in the world and began the process of putting this new business together. We teamed up with several partners around what we saw as a pretty straightforward business case, which included $6 billion to $8 billion in fuel savings for the airlines by safely enabling more efficient aircraft operations and routing and reducing greenhouse gas emissions. Iridium would serve as the global technology platform to make this once-in-a-generation opportunity possible, while our partners would provide financial, operational, regulatory and technical support to get it off the ground. At the time, we announced that Aireon would generate $200 million in hosting fees that would be paid to Iridium between 2014 and 2017, while also collecting annual data fee revenue from Aerion, which was more difficult to size without the venture having signed its first customer contract. And lastly, we believed that there would be significant potential value for Iridium from having a substantial interest in the joint venture. Looking back at that we announced nearly 1 year ago, we made strong progress in standing up this new business. We closed our formal agreement with our joint venture partner, NAV CANADA, back in November, and they've now made their first investment of $15 million. NAV CANADA's planned total investment of $150 million will be made multiple tranches as Aireon reaches critical commercial, financial and regulatory milestones. As the world's second largest air-traffic management agency and largest provider of Oceanic Services by flight volume, NAV CANADA has always been a supportive financial partner but a leader in developing and reviewing technical requirements for the system and coordinating regulatory actions. As we expected all along, NAV CANADA also recently became Aerion's first customer, signing a long-term commercial data service contract. This is what we announced on Monday. This agreement was important as it provides the baseline for the many contracts Aerion expects to sign during the next 12 to 18 months. On that front, we're getting increasing enthusiasm and support from international air traffic agencies regarding their use of Aerion's services. For its part, the FAA has allocated financial and technical resources to complete the first of 2 major steps in their formal assessment, and we expect that they'll be an important customer of Aerion's. With the first Aerion customer contract having been executed by NAV CANADA, we're now targeting nearly $0.5 billion revenue opportunity for Iridium. So to be clear, we continue to expect $200 million in early hosting fees from the Aerion venture and now believe will receive nearly $300 million in recurring service revenue through about 2030 from the data service contract we have with Aerion. All in all, we remain excited by the prospects through this new business, which we project will add approximately $20 million annually to our run rate revenue once Iridium NEXT is launched and the system is fully operational. Harris, our payload development partner for Aerion, is also moving nicely toward their critical design review of the platform this month. In addition, we recently formalized our partnership with Harris for a complimentary payload deal worth up to an additional $45 million in hosting fees, based on the final configuration of the admissions, while also generating incremental service revenue for data transport and payload management services. We've already generated some payments from that new contract, although they won't hit our bottom line until we launch Iridium NEXT. Before I send it over to Tom, I wanted to wrap up by spending a few minutes on our M2M market opportunity and our sales expansion into new markets including Russia, India and China. As we've demonstrated through our strong financial results during the last few years, satellite M2M remains both an important business and a huge opportunity for us. We grew M2M subscribers and revenues 31% and 23% year-over-year, respectively, in the first quarter. And there's nothing we see on the horizon that stands in the way of continuing to deliver double-digit growth rates. As I've noted in the past, this market is characterized by low device penetration and a robust partner channel that is developing custom solutions for a diverse set of vertical markets. This sector is forecasted to grow its annual revenues by approximately $700 million in the next few years, according to Northern Sky Research. Our global coverage and low latency service makes us leaders in the satellite M2M space, as does the functionality and form factor of our devices. M2M customers represent 41% of our installed subscriber base and 18% of our total service revenue today, having approximately doubled in size during the last 3 years. In an important competitive win that both extends and validates our leadership position, we recently closed on a multiyear agreement with Caterpillar to become its primary provider for satellite M2M data services. We haven't had an opportunity issue a press release yet as we just got the deal signed, but I wanted to emphasize this agreement with you today as it's essential to our growth strategy in the M2M business. This watershed agreement with the world-leading heavy equipment manufacturer underpins our strategy to provide real-time data communications for telematics, asset and fleet management and location-based services for global OEMs and aftermarket solution providers. Caterpillar appears to be adopting a comprehensive telematics strategy for a big part of its extensive product line, and we think our new contract clearly demonstrates that the market demanding the highest quality and best value is picking Iridium for their needs. We expect this will be the first of a number of significant contracts in the coming quarters and years and believe that this deal will be meaningfully contributing to our commercial M2M subscriber and revenue growth beginning in 2014. We plan to issue a press release with additional details in the coming weeks and continue to work closely with Caterpillar in developing our relationship. So stay tuned. As for our entry into new markets, we remain confident that Russia and the renewed potential we see in India and China will contribute to our long-term revenue profile. As many of you know, we entered the Russian market last year after a lengthy licensing and regulatory approval process. We now have partners actively selling our products and services in-country, and the initial progress has been good. We continue to build out our back-office infrastructure in the country and have also begun to make the necessary capital investment to build out our required gateway. We're also looking forward to meeting with our Russian service providers and customers in May during our first local conference. As we've noted before, we believe we can capture a 40% share in the market that could ultimately be worth over $70 million annually in the coming years. And after a long hiatus, during which Iridium didn't operate in India, we've also begun to take steps to reenter this market. While it's still very early in the process, we hope to finalize a partnership with local telecom operators during 2013 and then pursue Indian regulatory authorizations. Much like Russia, we'll be obligated to spend capital to construct local ground infrastructure. But unlike Russia, we don't have any network traffic or revenue coming from India today, so our subscriber and revenue growth would be entirely incremental to our commercial service business. I also mentioned China, where there's growing market opportunity for commercial satellite services, particularly for handheld aviation, maritime and M2M. We're working with our partner, China Telecom, on developing new service offerings and complying with regulatory requirements to expand our business there. In closing, I'm encouraged by our strong progress we continue to make in strategic areas that are important to our long-term profile. Most importantly, we're on target for our Iridium NEXT build and can now really begin to appreciate the economic potential of our Aerion joint venture. Our competitive position in our commercial market is strong, particularly in the M2M space. And we're on track for a successful contract renewal with the U.S. government later this year. We continue to believe that 2013 will be a period of renewed growth and look forward to what the rest of the year brings for us. So with that, I'll turn it over to Tom, for a more detailed financial review. Tom?
Thomas J. Fitzpatrick: Thanks, Matt, and good morning, everyone. Our first quarter 2013 results were in line with our short-term expectations, and we also took important steps forward in many of the initiatives that matter the most to our long-term success. In short, our Iridium NEXT program is on track. We delivered on a big M2M customer win, and we continue to make steady progress towards a successful U.S. government contract renewal later this year. I'll first focus on our results and then wrap up by taking you briefly through the 2013 financial guidance we affirmed this morning in our earnings press release. Iridium reported first quarter total revenue of $89.2 million, representing a 5% decline from last year's comparable period, driven largely by a reduction in equipment revenue on lower overall sales volumes. I'll have more insight for you regarding our full year projections for equipment revenue and gross margin later in my remarks. Operational EBITDA came in at $46.8 million, representing growth of 7% from the prior year quarter. Our operational EBITDA margin was 53% for the first quarter, which was an expansion from 47% in the year-ago period. First quarter net income was $14.9 million, up from the $12.4 million we posted in the year-ago quarter. As a reminder, our $12.4 million in net income last year benefited from the favorable change to Arizona tax law that did not reoccur this year. From an operating viewpoint, we recorded commercial service revenue of $53.7 million in the first quarter, yielding 5% growth over last year. We added 10,000 net commercial customers during the quarter, resulting in a 15% year-over-year increase in subscribers. These net additions were entirely in the M2M business. Commercial M2M data subscribers now represent 42% of billable commercial subscribers, an increase from 37% during the year-ago period. The M2M business remains a jewel in our portfolio for the many reasons Matt discussed earlier. I'd add that it's not just the M2M market opportunity that excites us, but rather a broader focus on advanced data services throughout our product line. In fact, for the first time in our history, data revenue as a component of total service revenue, measured approximately 50% during the first quarter. This split was more like 60% voice and 40% data 2 years ago, showing we're well positioned for further expansion in this rapidly growing market. As for the voice business, while subscribers grew 6% year-over-year during the first quarter, we continue to see lower overall usage of our voice and circuit-switched data services, primarily as a result of falling airtime from maritime and non-U.S. military traffic in Afghanistan. We covered much of the detail behind this trend last quarter, so I won't go through it again here. However, I would emphasize 2 key points. First, we anticipated a significant reduction in usage when we initially gave and today affirmed our 2013 outlook. And second, we continue to expect that our commercial access fee increase and prepaid policy change will offset this usage pressure, resulting in comparable commercial voice ARPU for the full year 2013 versus the full-year 2012. Turning now to our government service business. During the first quarter, we reported government service revenue of $15.1 million, down 4% from last year's comparable period. Government voice customers declined 6%, but we grew M2M data subscribers 42% over last year. We also grew Netted Iridium subscribers 11% from the year-ago period, showing ongoing uptake of our beyond-line-of-sight tactical radio service. We ended the period with a total of 51,000 billable subscribers, up 6% year-over-year, with M2M data subscribers now accounting for 33% of the installed base. As illustrated by the figures I just described, 2 legs of our U.S. government service business, namely, M2M and the Netted tactical radio service continue to have strong growth, while softness in the traditional telephony business has disproportionally impacted our service revenue. As we've consistently said for nearly a year, this interplay will continue until we renew our agreement with the Department of Defense at the end of the third quarter. We continue to follow a solid plan and have the right team in place to finalize the contract. We're taking a comprehensive approach that expands our value proposition with them as we look ahead to Iridium NEXT. It's worth noting that the U.S. government continues to invest with us on cutting-edge future capabilities, including upgrades to their dedicated gateway that support Iridium NEXT readiness. Specifically, we're anticipating another award soon under their multiyear $47 million contract to continue with the modernization plan for their ground infrastructure. Focusing next on equipment, which produced revenue of $17.3 million, a 20% year-over-year decrease, primarily resulting from lower overall sales volumes. We really see this as a timing issue as we have a strong committed order book from our partner channel. Overall, we expect that our equipment business will make roughly the same contribution to consolidated operating results in 2013 as it did in 2012. Moving now to our financial and operating outlook for 2013, which we affirmed across the board this morning. We expect operational EBITDA between $215 million to $225 million for the full year 2013, which at the midpoint of the guidance range, would be 7% growth when compared to the $206 million we achieved in 2012. On the same basis for the full year 2013, we reiterate the following: total billable subscriber growth of between 15% and 20%, which will continue to be largely driven by ongoing success in our M2M business as well as opening up the Russian market; and total service revenue growth between 8% and 10%. And finally, a review of our capital structure and liquidity position. As of the end of the first quarter, we had drawn $751.8 million from the Coface facility relating to payments we've made to Thales for their successful completion of contractual milestones for Iridium NEXT. And we've now invested over $1 billion in the last 3 years towards this approximately $3 billion project. While the outstanding balance of our Coface facility is the same as it was in the fourth quarter, this doesn't apply -- imply an adjustment to our capital spending profile or Iridium NEXT schedule. In short, it's just a timing issue related to how the funds are dispersed. Our contractual milestones with Thales simply fell outside of the first quarter, so you should see both our capital expenditures and Coface balance ramp up as we make future payments. Lastly, we had a cash and marketable securities balance of approximately $271.9 million. In wrapping up my thoughts, I like how we started the year by making steady progress towards our long-term goals. Our competitive win of Caterpillar really changes the landscape for us in the M2M space, and having Aerion's first customer contract under our belt, is an important step in the foundation of this transformational venture. Like Matt, I look forward to updating you again in early August as we head into the second half of the year. With that, I'll turn things back to you, operator, for the Q&A portion of this morning's call.
Operator: [Operator Instructions] Our first question comes from the line of Chris Quilty from Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: I know you're going to follow up with a full press release on the Caterpillar agreement, but I was hoping you might at least, at this point, be able to give us an idea of what elements you think swayed the decision from Caterpillar to switch vendors? Was it the global coverage or other elements of the current network or future network?
Matthew J. Desch: Well, I would say that we -- first of all, we've been working on this a long time, and it's important to note, kind of, Caterpillar has embarked on a, at least appears to us, a corporate strategy to connect via telematics everything that they manufacture. Satellite M2M, we think, will be a big part of that, but I think that sort of -- I think they were working it a bit more opportunistically but now have taken sort of a corporate-wide approach, and that led them to rethink who they were going to use long-term for satellite M2M. And I think they really looked at the industries extensively, and we've -- we reiterate many times why we think we would be selected by these kinds of suppliers. It's latency, it's speed, it's the 2-way attributes. It's sort of the uncompromising nature of, you're making all those assets, and they're showing up every part of the planet, not worrying about where they are and how fast that you can respond to them. And sort of a -- more of a portfolio of product because this isn't just a SBD, but it includes 2-way, higher-speed services to connect larger assets. I don't say just track but actually connect to provide information about the health of the vehicle, where it is, how it's performing and other attributes that they want to find out about it. So I think if you think our view is if you're you really looking for the overall best M2M supplier, we're going to get picked in that case. I would say what's been different a little bit in the last 2 or 3 years, that's made us more capable now than we were, say, 5 years ago when perhaps, they were getting more started in this area or even before. It's the cost of our devices has really, really come down over the last couple of years, the size and scope of those. So we have traditionally played more at the higher level of the M2M market, but now I think this contract shows that we can compete very effectively at the -- what I would call the lower, lower, ARPU but wider-scale, larger-volume kind of area in the industry too.
Chris Quilty - Raymond James & Associates, Inc., Research Division: And probably, fair to assume at least in the early ends, this is more about forward fit of equipment rather than an attempted chase-down and retrofit tens of thousands of pieces of equipment around the world?
Matthew J. Desch: Yes. I don't know that for sure, but I would assume so, yes. They make an awful lot of equipment every year, and I think that's -- that will be a nice enough market. We just focus on that.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And since we don't expect Cat to contribute in '13 materially, what specifically gives you confidence about the subscriber growth, which was a little weak, at least by my pen, in the first quarter, that you'll achieve a pickup in the back half of the year?
Matthew J. Desch: I think it's the kind of the funnel that we see. The -- there's a lot of leading indicators for our subscriber growth, which includes equipment shipments. It includes -- which looks weak from a comp perspective, but as I said, we are shipping a lot of equipment, and see, sort of, what the order commitments that have been made by customers throughout the end of the year, continue to look very comparable to previous years...
Thomas J. Fitzpatrick: And it's driven by M2M. I mean, subscriber growth is driven by M2M, and it's just the final of M2M opportunities that we expect to close and activate here during the latter half of the year.
Matthew J. Desch: Yes. I think Caterpillar, potentially long term, could become one of our largest M2M customers. But we have quite a broad range of customers today. It's really a long list, and all of them discuss with us constantly about what their needs are, how they see the year. They make commitments for equipment, and they go down plans. And sometimes, they don't meet exactly the commitments they make to us, but we're getting better and better all the time at figuring that out. And I think we have good enough visibility to still be able to say, it's going to be a strong year on subscriber growth.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Shifting over to the voice side, subscribers flat. Can you give us a sense of how that broke down between traditional handsets and the OpenPort product line, and if you've been able to trace down the reason for the large customer shift in OpenPort last quarter?
Thomas J. Fitzpatrick: So the subscriber, just the subscribers being sort of flat sequentially, so their net additions is really driven by deactivations as a result of our price increase. I would characterize the increase in deactivations is consistent with what we've seen within prior price increases that we've enacted. We think we've worked our way through that. As to OpenPort, we continue to work to improve our situation there, as we said. We had deactivations that kind of had their roots in early issues we have with the product. We think we've addressed the product issues, and our activation rate remains strong, but we're working our way through the OpenPort situation, Chris.
Matthew J. Desch: Yes. I think we're pretty -- I think it has been pretty public about the up fleet[ph] that we lost in the fourth quarter, competitive environment, et cetera, and what it was. But as we said, our activation rate continues to be very strong for that product. It was the kind of deactivations due to that and some early product issues that we had, which were higher than they had been traditionally, and we think that's going to reverse here going forward. And this year, we'll continue growth. But 2014, '15 will continue to be very good years for OpenPort.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Actually-- I'll take one more and then jump to the back of the queue. Just the dimension of India as a potential new market, which I think that's kind of new at least in terms of your emphasis this quarter, is there anything that gives you confidence that you can get a regulatory approval sometime before the end of the decade? Is there something that's changed about the regulatory environment in India that I'm unaware of?
Matthew J. Desch: Actually, the regulatory environment is fairly straightforward in India. I don't think we've ever -- I hope I've never described that as being a regulatory issue. It's more of an economic issue and whether or not it made sense to go into the marketplace. If you build a gateway in India, there is high likely that you're going to be approved and could be approved very quickly. And now the market isn't large enough, I don't think, for every player, and I don't -- and I think you have to look very carefully at the business case for doing that and who does what. But our recent discussions with operators have confirmed that there is a growing opportunity there. We think there's a kind of a potential first-mover advantage if we get our partnerships together quickly. And I don't think the regulatory environment will be an impediment. It's just a matter of constructing the gateway and moving forward. All of us have been trying to avoid having to build a gateway when one is not required, but India does require a full gateway, very, very specific about that. And their rules are fairly clear. So we just have to comply with the rules, and we believe we'll be licensed. It's more about getting the partnership together.
Chris Quilty - Raymond James & Associates, Inc., Research Division: And that's ballpark $10 million investment for a gateway?
Matthew J. Desch: Probably a little bit more than that, but close, not too far off in terms of the hardware required for a gateway.
Operator: Our next question comes from the line of Greg Burns of Sidoti & Company.
Gregory Burns - Sidoti & Company, LLC: I just had a question on the intended market in terms of the pipeline behind Caterpillar, what that looks like, and do you still expect to have a couple more announcements in the near term?
Matthew J. Desch: There's an awful lot of action and as I said, there's literally over 100, I think, different partners who are deploying M2M capabilities. I don't know what the exact number is, but it's a big, big list, probably dominated by the first 30 or 40 players in terms of numbers. But there's an awful lot of players on the list. So we are talking to a number of new ones. I think this whole equipment OEM market is starting to open up. One of the reasons why Caterpillar was very important to us is because as Caterpillar goes, so goes the rest of the industry. They're a bellwether kind of player who are highly noticed by all their peers and I think when they make a selection, it's respected by the rest of the industry. And so, we're clearly very interested in expanding our -- expanding into that market segment, but there's a broad number of other segments that really are expanding across the board that we apply very well to on a number of different fronts. So yes, I think you'll see more announcements. I'm not going to say when and where, but I certainly think it will be over the next coming quarters and year or 2.
Gregory Burns - Sidoti & Company, LLC: And on the Aerion revenue guidance, when we look at that, what is it exactly or -- probably, what makes up -- what's baked into that guidance. And looking forward, is there any areas, if any, of potential upside that you don't currently factor into that number?
Matthew J. Desch: Well, there's a number of parts of our hosted payload strategy, if you will, in which Aerion is the biggest part of. So Aireon, as we've said, is made up of 3 review streams. The first one is hosting fees, which is a contract with Aireon and they will pay us as the system is being launched over the next coming years and that's $200 million. So I said, we've just recently announced that the $300 million in data service revenues, which is basically $20 million a year. As they go into operation, they'll be paying us to deliver that data back to the growing ANSPs. The upside, if you will, and you can determine that for yourself, is really in the fact that we're going to be an owner of Aireon. So, to the extent that it is continuing to be more successful, and we obviously think it will be, there will be distributions from Aerion and there's profitability to its ownership and we'll make money that way. And that'll be more in the out years as it gets quite -- I mean, that we haven't given any kind of guidance for and said what that will be and you can make your own estimates for that. And then, of course, there is -- on top of Aireon now, of course, we said there's additional hosting platform that Harris -- the deal we have with Harris, we've said that, that's up to $45 million and that's underway. So that's on top of all that. And there's some additional data service revenues that come out of that as well. So as I said, I think we've done -- pretty much accomplished our goals here in terms of finalizing our plans for our hosted payloads. I think we've done it in good form and fashion, maybe in someways different than what we originally expected 5 years ago when we started down this path, but in some ways, it's probably even better because of the way we've constructed our approach.
Operator: Our next question is from the line of Chris -- I'm sorry, Brian Ruttenbur from CRT Capital.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Just a couple of quick questions, on the government services side. I think the guidance that you're giving is you expect some erosion quarter-to-quarter for the next couple of quarters and then a bounce back on the government services side, is that right?
Thomas J. Fitzpatrick: That's right. We expect government service revenues down in each of the first through third quarters and we expect it to be up materially in the fourth and the back -- in the fourth quarter, on the back of our new contract.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Perfect .And then on the R&D, was down year-over-year. Can you give us some kind of guidance on -- is this -- was there anything unique that came out this quarter or sequentially and should it be bouncing back or is this the number that we should be looking at going forward around the $16 million, $17 million number?
Thomas J. Fitzpatrick: No. It's artificially low in the quarter just due to timing. It'll bounce back -- it will be up materially, sequentially. So into the second quarter, we see it up.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay. And then also on SG&A, was up sequentially, kind of flattish year-over-year. Can you give us some kind of -- is it going to be essentially flat as a number from 2012 levels or is there anything that's in there that needs to go higher?
Thomas J. Fitzpatrick: There's nothing of note like I just mentioned in R&D and SG&A. So we're not going to guide specifically on that, but R&D was clearly low due to timing and you should look for that to come back next quarter.
Operator: Our next question comes from the line of Jim McIlree from Dominick & Dominick.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: I think you mentioned, regarding the Cat deal that you were the preferred provider? Does that mean exclusive, or what is the full implications of that?
Matthew J. Desch: Yes, we said primary provider. And I'm trying to avoid -- I use that world carefully. I think it's appropriate. Primary means primary. And I think you're going to see us in the vast majority of satellite M2M sales going forward. I can't say for sure that, that means exactly 100%, but -- exactly when and where that will be, but I think primary provider speaks very well to it.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Okay. And then I'm trying to understand better the timing of the design of the hosted payload from Harris versus the timing of the next constellation and how that all integrates together. Does Harris have to have their payloads fully set in stone by some date certain in order to get it on to the next constellation? And how does that work with the additional customers that they're trying to get for that space on the payload?
Matthew J. Desch: Yes. So they are delivering 81 payloads, essentially, to us. And I think I've mentioned before that when we selected them for Aerion, they deliver -- they offered a very sophisticated and capable platform to monitor air traffic -- air traffic signals and to relay them to us. But we -- I guess one of the happy surprises from all that is we didn't know that they were really delivering us a platform, we thought it was a specific customized payload. So as they're developing, and they're right on track for developing the payload, we realized that there were still additional weight power in the-- available, really, from the what was Aerion requiring. But the platform actually could take additional cards and capability into it pretty effectively. So the real complications of integrating a hosted payload into a satellite is really the power, the data, the bus and all that sort of thing. But that's all well locked down with Aerion and the whole platform that they delivered. So adding additional capabilities to it, at least certain kinds of capabilities, are not that difficult. And so they really have some additional time really between now and frankly, until the networks are launched to configure that platform the way they want to and depending upon the customers and applications and the choices that they make in terms of configuring the remainder aspects of that platform. So I know we used to talk about the cut off date, really, for a hosted payload was about this time. And in fact, it is. But the fact that they're really developing into a highly integrated platform gives them additional time to work out some final details, literally over the next 2 years or frankly, they could even configure a little bit satellite by satellite, I suppose, as the satellite gets configured for launch in 2017. So -- and that's why there's still a little uncertainty about what the total amount will be. There's certainly going to be some base amounts and we've already, as I said, gotten some revenues from that. And we think pretty good, the chance for that, but the actual numbers really won't be known for the next 2 years, 2 or 3 years, the final number.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Okay. Okay, great. And then lastly, on the commercial ARPU increase that -- I think you're looking for a commercial ARPU increase in either Q3 or Q4. Is that mostly going to be in Q4 or is it partly Q3 and partly Q4?
Thomas J. Fitzpatrick: No, it's Q4. Q4 will benefit from the prepaid policy change. So basically, we have an inventory of prepaid minutes that'll expire and they'll expire in the fourth quarter. So that's why it's back-ended. It basically will -- they will cease to be, sort of, a liability on our part and we'll take it into revenue in the fourth -- it's our expectation in the fourth quarter. And so we're looking for an increase in the fourth quarter. As I said in my remarks, we think ARPU on the full year will be roughly comparable to what you saw in 2012. So the trend of decreasing ARPU that you saw through all the quarters of '12, we think the price increases and the prepaid policy change dominates that. That's been our expectation for some time.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: ; So what happens to ARPU in Q1 of '14 relative to Q4 of '13? Is there an artificial drop or does it flatten out at that point?
Thomas J. Fitzpatrick: I would say, the headwind will be less because we're working our way through the non-U.S. military draw down in Afghanistan. So that headwind is pronounced in '13 and will be less so in '14.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: But is there a big drop quarter-to-quarter assuming the headwind stops simply because you haven't booked -- simply because that booking or de-booking of the liability isn't there anymore?
Thomas J. Fitzpatrick: Sequentially, from the fourth into the first?
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Yes.
Thomas J. Fitzpatrick: Yes. That's a fair statement. But as we look at ARPU for 2013 versus 14, there will be less headwind from lower usage because of the non-U.S. military drawdown.
Operator: Our next question comes from the line of Erik Rayner from William Blair.
Erik Rayner: This is Erik Rayner from Jim Breen. Just a quick question on CapEx. It came in a little lower than expectations for the quarter. You didn't dip into the credit facility. I was wondering if you could give us a little more clarity as to why that was so low in the quarter. And then maybe provide a little more clarity on the timing of CapEx as we move throughout 2013? You guys have laid out a plan where you've expected to spend over $500 million in CapEx for the year. So just curious if that changes at all or if some of that is pushed into 2014?
Thomas J. Fitzpatrick: Yes, no change to that -- to our expectation for the full year. The way our contract with Thales works is there is predefined milestones that trigger payments under the contract. And just as it fell, there weren't any in the first quarter. So the first quarter CapEx is artificially low as a consequence of that. It doesn't-- it's not a change in plans or a delay or anything like that. It's just how it fell, and so you usually look for CapEx to be up materially in the second through fourth quarters.
Erik Rayner: Okay. Do you expect it to ramp second through the fourth, or just sort of flat throughout?
Thomas J. Fitzpatrick: I think it's unremarkable. I mean, it should be up materially in the second quarter.
Operator: Our next question is from the line of Amy Yong of Macquarie Capital.
Amy Yong - Macquarie Research: Just 2 questions. Can you update us on the M2M business in the sense -- can you just give us a sense of overall margins for M2M products relative to the other parts of your business, ARPU trends over the next few quarters and who your competitors are at this point? And then also Tom, can you just clarify what the marketable security number was in the quarter?
Matthew J. Desch: Our ARPU is still holding, it's the best in the industry, in the high teens, as you know, and first quarter was -- had no difference as far as that goes Most of the rest of the industry, and there's a couple other players, frankly, Inmarsat, Global Star and ORBCOMM, and I guess technically, Thuraya, all have some level of M2M business, as all our comp does, but it's part of the other's business. And I believe almost all of their ARPUs are in the really low single digits, low to mid-single digits. And again, that's not because of pricing or anything, it's just because we get utilized more often because our network works better than others. As far as margins go, I mean, obviously, service revenue represents extremely high margin for every dollar we generate there is as almost all margin. On the equipment side, we make money on our equipment and we make a number of devices. Again, the cost of those devices have come down dramatically in the last couple of years. So technically, the revenue is, from an equipment perspective, is kind of challenged because our newer products are so much less expensive than the older products, but the margin still remains very good on those because we're able to lower the prices and therefore, be more competitive against anyone else. And the overall M2M market is, as I said, I think you can read anything out there and you can see -- I don't think anyone would say that almost everything is being connected these days or being considered to be connected at some point. I'd say we're still in the very nascent early days of the M2M industry. We're still in sort of, what I would call, the experimentation stage. It feels a lot like it was like I felt like in the early '90s in terms of wireless voice penetration, you're seeing M2M penetration still early. And Cat is a good example of that is, they've been working this into their product line, but now they really are focused on a commitment to do 100% of the assets they make. And I think you can see all your automobiles are being connected, tracking of all types of assets and they're getting really less and less expensive assets to be tracked, but also monitored, railways and things in the air, and pipelines, and units of all types of things. So it's a very healthy early stage of that market. We think we're extremely well positioned to -- as that market grows, we'll do very well. And Tom, the latter part of the question.
Thomas J. Fitzpatrick: Yes, maybe there's $66.6 million in marketable securities and I would just direct you to our 10-Q that was filed this morning, there's fulsome disclosure in the footnote there.
Operator: Our next question is from the line of Robert Hoffman of Princeton Opportunities.
Robert Thurston Hoffman - Princeton Portfolio Strategies Group LLC: I just wanted to drill down a little bit into the Cat relationship. I know you can't give too many details, but is Caterpillar going to then resell the capability to the end buyer? Is that the way it would work?
Matthew J. Desch: Well, the way to describe it is they're sort of their own value-added reseller in some ways. And that they put the product on and they maintain the relationship, the building relationship, essentially, with the end device. And how they do that, I don't have a lot of visibility to -- or how that plays out to their dealers and that sort of thing and on an international basis, but they kind of take that responsibility for figuring out how to pay for, essentially, the service time in each of those different devices. And then we basically send one bill to Caterpillar, if you will, each month for all the devices that they are growing over time, that they're going to be using.
Robert Thurston Hoffman - Princeton Portfolio Strategies Group LLC: So in other words, you will only get paid when an end customer says, "effectively, yes, I want to connect with that data?
Matthew J. Desch: Yes, I think that what happens is, of course, we sell equipment. And of course, we will have equipment revenues whether this is -- by the way, not just a 9602 M2M device, but our 9523, which provides circuit-switched data, which you could say is also an M2M device would also be utilized here. Those will go out and they'll be installed on the vehicles, I'm sure. Maybe, hopefully, the majority of the kind of types of things that come off their lines and they go into operation and how they decide to either activate those or which ones they decide to activate and when. Yes, so they'll come on line as those vehicles really go out in the field and need to be tracked or monitored or maintained or whatever it might be.
Robert Thurston Hoffman - Princeton Portfolio Strategies Group LLC: Do you have a sense of -- I'm sorry, I have no concept of how many units Caterpillar produces. I mean, is it in the hundreds of thousands per year? Is it in the tens of thousands, single thousands? Any signal?
Matthew J. Desch: Caterpillar doesn't disclose that. It's a big number. They're a huge company, it's certainly, more than tens of thousands a year. So it's a big number and hopefully, satellite makes up a big part of that but I can't give you specific numbers. We kind of have internal expectations, but they don't disclose numbers.
Robert Thurston Hoffman - Princeton Portfolio Strategies Group LLC: Got you. And then switching over to Aireon. When you talk about your ownership in Aerion. I guess what -- Aireon as an entity, will then be charging more to the airlines than they're passing through to you, correct? So that's where the kind of the extra boost comes from? You're going to own x percent of an entity that's generating cash flows?
Matthew J. Desch: Yes, I mean, this thing about the whole business, model, really for air traffic surveillance, essentially, is just -- I mean, the reason why this week's announcement was important is because NAV CANADA and Aerion established essentially what it was that Aireon would charge NAV CANADA for every, for every flight, for every -- for what it really provides NAV CANADA. NAV CANADA agreed to that number based upon what they thought they could charge airlines. And again, that's a fraction of what it is believed-- that the airlines would save in terms of fuel savings and time and cost savings. So the airlines will be happy because they're improving their bottom line as they fly particularly, international, oceanic routes. NAV CANADA is happy because they increased their profit somewhat in that area or at least, certainly, can lower the cost of service essentially to their customer base, based upon growing revenues. Aerion's happy because it's making money, in excess of its cost and we, of course, are happy because they're passing on data revenues -- data service revenues to us as we deliver that data to them. So, this kind of established the overall model, which is why we've been able to sort of give much more specifics on what this is worth.
Robert Thurston Hoffman - Princeton Portfolio Strategies Group LLC: One quick question back on the Caterpillar. How easy is it to retrofit an older machine with the same capabilities as something new that's coming off the line? Is it fairly simple?
Matthew J. Desch: Yes, again, I don't want to imply that this is necessary for retrofits, but if something was in for service, I think you pretty much can just take off -- if there was a previous device on, you pretty much can take it off and put a new one on. These things are being designed to be consistent, really, with their overall electronics architecture that they've had in place for a while. And they're doing really the work with their other OEM partners who are involved in their telematic strategy. And so, I think, over time, I think these things will be in retrofits for ones that they can. But more importantly, every new device going out the door will probably have one of these things on it.
Robert Thurston Hoffman - Princeton Portfolio Strategies Group LLC: I guess what i was thinking is if I'm a huge contractor and I have 2,000 Caterpillar machines out there and I'm buying just a couple of hundred a year, I don't want 2 different systems...
Matthew J. Desch: I think you're right. I think consistency will be a part of this. I'm only being careful because I really think it's their strategy and it's not in our contract exactly how they will use it, so -- but I think the general feeling over time is they want one supplier and they want simplicity and the end customer would want to have, sort of, one approach. But I think that's a logical conclusion anyway of what we're doing with them.
Operator: [Operator Instructions] Our next question is a follow-up from the line of Chris Quilty of Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: I just want to follow up quickly on the Aerion announcement and clarification, the $300 million in service revenues that you talk about includes what? Is that NAV CANADA and ANSP customers? Is it -- does it assume a global rollout and does it include potential third-party revenues from, directly, from airlines, insurance carriers and other third-party sources that might also be interested in the data?
Matthew J. Desch: Yes. So Aerion, well, has a broad range of revenues that they can make. They only have the first contract and they're in discussions with many other international ANSPs and I expect that they'll conclude additional deals, patterned after the NAV CANADA contract in the coming year or 2. And of course, the FAA is the big one of that, that too that eventually they'll get. That number -- and by the way, reusing that data in many other ways, possibly reselling it to other agencies, non-real-time data, all the things that they can do with it, really, I think has a lot of potential for growth. The amount we've described, the $300 million, is somewhat fixed, if you will. We have a -- we want Aireon to be successful. So it's not a variable number from 0 to an unlimited number based upon that growth. $20 million a year is pretty much what that number will ultimately -- we think will ultimately be with a number of ANSPs making decisions, but not all of them have to and they don't have to sell the data in lots of ways. So I think we could get to that number pretty quickly and we'll stay at a number like that. Our upside, as we described in the previous discussion, is really being a part owner of Aerion. And the fact that as they get more and more successful and sell the data more times, they are going to become more profitable and we'll get our percentage share of that entity for our ownership percent of share.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And Tom, a clarification, when you talk about a strong order book, can you clarify that in terms of a the traditional book-to-bill, or at least on a relative basis, the strongest order book you've had in some period of time?
Thomas J. Fitzpatrick: I mean, we expect machine-to-machine activations and that to be higher this year than last year. And that is backed up by a customer-by-customer estimate of what those activations will be, Chris.
Matthew J. Desch: We don't disclose the specific numbers, but one of the reasons -- one of the things we do every year, at the beginning of the year, is we set prices and volume commitments with our customers. They cost less for them to buy devices, the more that they commit to buy within a year. And it's a strong leading indicator for us as to what percentage fill of the year essentially we have at the beginning of the year in those initial commitments. And I think what we're saying is that we see very comparable and strong commitments to units from a broad range of partners. As you know, we have over 300, but we have a fair -- a lot of visibility to all those. And that's again, not just for M2M, but that's for voice devices and that's for -- so what we're looking at in terms of OpenPort devices and throughout our range. And so the reason why we were able to say that we believe that equipment revenues will be fairly comparable year-over-year is that we have that visibility into a high percentage really, frankly, of what the expectations are from the year for our partners.
Chris Quilty - Raymond James & Associates, Inc., Research Division: And that would imply something like 20,000 or 25,000 net adds through the balance of the year compared to 10,000 in the first quarter. Would we expect that to ramp as the year goes? Or you've got a bit of a look into Q2, do you expect a sharp sequential step up?
Thomas J. Fitzpatrick: Yes. And it's driven by SBD.
Matthew J. Desch: And remember, the second or third quarter are always been historically the hottest 2 quarters. So the fourth and first quarter, as we go in the Northern Hemisphere and they're colder and a lot of these devices get put outdoors, are always a little slower than the second and third quarter. So that all plays in.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And final question, no mention of Aero OpenPort? Can you give us an update on where that product line stands?
Matthew J. Desch: Yes, just too busy, I guess, to include that. I mean, it's an exciting prospect for the future. We're continuing to get interest in not just Aero OpenPort, which by the way, is a great opportunity and we're seeing it on still initial, early aircraft because it needs to be supplemental-type certificates, the STCs need to be created for aircraft so they can be deployed on them. But really, our services in general, and aircraft in monitoring the -- in actually providing aircraft safety services, standard call, future air navigation services or FANS over Iridium is a great opportunity all around the world right now. And given that we've been approved, I think that's starting to really ramp up nicely right now in getting ourselves on all kinds of aircraft platforms for cockpit voice and data services, in general. And those are narrow band. In some cases, they'll be broadband in the future with OpenPort Aero, but that continues to ramp nicely. Just don't have a big customer announcement, necessarily, to talk about this quarter, but we will, over time, as we do.
Chris Quilty - Raymond James & Associates, Inc., Research Division: But, you have engaged with some partners that are looking at rolling that out on, I believe, commercial airline fleets?
Matthew J. Desch: Our safety services, you mean?
Chris Quilty - Raymond James & Associates, Inc., Research Division: Well, not for safety services, but more the cockpit and perhaps cabin data services?
Matthew J. Desch: Yes, there is a number of different engagements underway from our partners to commercial aircraft and general aircraft -- general aviation aircraft and military aircraft around OpenPort Aero. I just don't have any kind of projections or news to give you on that yet.
Operator: Our next question comes from the line of Jennifer Grace, Private Investor.
Unknown Shareholder: Having watched Iridium become a viable competitor in the satellite industry, particularly coming out of the bankruptcy, I just wonder why is it with continual good news that seems to be coming out over the last several years, in particular, with its growth and realizing the DoD and the changes that are happening there that, that might be a bit of a bump in the road. But, why is it that with all the good news that continually comes out, the stock continued to remain depressed or flat? There's an exception to that. If you look back to, what would that be, second quarter of -- or third quarter 2012, where it actually peaked above $9 and then that's the highest it's been and then it's fallen back down. I don't understand what the source of this is if you want to say in the old days, to me, this wouldn't have happened and by that, say 20 years ago, the way the world worked. There's so much great stuff going on with this company and I just want to know if your opinion is that it's short-sellers? If it's not enough, at least from the civilian part of it, point of view, versus business or military, why aren't we doing better in the stock price? And why would it boost up last year?
Matthew J. Desch: Thanks for the question, and thanks for -- I agree with your sentiments about all the good news that we've been having over time, but I wish I could tell you why I understood investor behavior, but I don't. And if I did, I do more of that instead of what I do here. Look, we're patient and maybe you're not, but we have a long-term plan, it's what we're focused on here. Clearly, I think investors are focused on the fact that we're going through a capital cycle right now with -- and we're investing a significant amount of our current revenues in a globally uncertain environment where the economies around the world are difficult and challenged. You mentioned the DoD and they're going through some times. So I think this is all going to work itself out, I don't know when it will. But I think we'll be fairly valued over the long haul. When that will happen, I don't spend a lot of time worrying about because that just not our role. Our role is just to continue building the company, launch our next generation network, keep winning good contracts. And frankly, I think investors will appreciate that over time. So that's about all I can say.
Operator: And with no further questions in queue, I'd like to turn the conference back over to management for any closing remarks.
Matthew J. Desch: So thanks all for joining us. So we'll see you in the second quarter call and look forward to talk to you all again. Thanks.